Operator: Good day ladies and gentlemen welcome to the Alliance Resource Partners LP and Alliance Holdings GP Second Quarter 2015 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session instructions will follow at that time. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Brian Cantrell, Senior Vice President and Chief Financial Officer. Sir, you may begin.
Brian Cantrell: Thank you, Amanda, and welcome everyone. Earlier this morning, we released 2015 second quarter earnings for both Alliance Resource Partners or ARLP, and Alliance Holdings GP or AHGP, and we will now discuss these results as well as our outlook for the remainder of 2015. Following our prepared remarks, we'll open the call to your questions. Before beginning, a reminder that some of our remarks may include forward-looking statements that are subject to a variety of risks, uncertainties and assumptions, which are contained in our filings from time to time with the Securities and Exchange Commission, and are also reflected in today's press releases. While these forward-looking statements are based on information currently available to us, if one or more of these risks or uncertainties materialize or if our underlying assumptions prove incorrect, actual results may vary materially from those we projected or expected. In providing these remarks, neither partnership has any obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. Finally, we'll also be discussing certain non-GAAP financial measures. Definitions and reconciliations of the differences between these non-GAAP financial measures and the most directly comparable GAAP financial measures are contained at the end of the ARLP press release, which has been posted on our Web site and furnished to the SEC on Form 8-K. Now that we're through with the required preliminaries, I'll start this morning with a review of the partnership's operating and financial results for the most recent quarter, and then turn the call over to Joe Craft, our President and Chief Executive Officer. As reported in our releases this morning, the Alliance partnerships delivered solid results for both the 2015 quarter and year-to-date. We posted increases to coal sales volumes and total revenues and our distributable cash flow for the first half of 2015, also increased compared to the 2014 period. In addition, our EBITDA and net income remained strong, despite what are obviously very challenging times in the U.S. coal industry. Taking a closer look at the details, coal sales volumes increased 10.3% sequentially, as our operations continue to perform well and we made significant progress and reducing inventories from the build experienced earlier in the year. You may recall that ARLP's inventories grew by more than 1 million tons during the first quarter of 2015, due to shipment delays caused by frigid weather and high river levels that disrupted barge movements. Our operating and marketing teams successfully brought inventories down by approximately 962,000 tons during the 2015 quarter, well in excess of our 800,000 ton expectations. Additionally, reflecting our decision through these unit shifts and response to market conditions, production volumes fell quarter-over-quarter and sequentially to approximately 9.5 million tons. Total revenues for the 2015 quarter increased to a record $604.7 million, led in part by the increased sales volumes I just mentioned, and by a significantly higher other sales and operating revenues, which increased 68.9% compared to the 2014 quarter; primarily as a result of higher coal royalties and surface facility services revenues from ARLP's investments related to the White Oak mine No. 1. EBITDA and net income for the 2015 quarter were negatively impacted however, by the non-cash equity loss of affiliates from White Oak, which was considerably in excess of our expectations. Primarily, due to low cal sales price realizations and higher expenses, equity losses from White Oak increased by $14.5 million compared to the 2014 quarter and $12.6 million sequentially. As we previously announced and as Joe will discuss in a moment, we are on track to close this week on the acquisition of the remaining equity interest in White Oak, not already owned by ARLP, and assume operating and marketing control of their mine number 1, effective August 1, 2015. ARLP reported EBITDA of $182.4 million for the 2015 quarter. In addition to the equity losses from White Oak, EBITDA was lower compared to the 2014 quarter, primarily as a result of higher sales related expenses due to the increased coal sales volumes in the 2015 quarter, and the fact that the 2014 quarter contained a one time $4.4 million gain on the sale of Pontiki assets and the $7 million insurance settlement at the Onton mine, these negatively impacted our year-over-year comparisons. Net income of $94.9 million was further impacted by increased depreciation, depletion and amortization for the 2015 quarter. Turning for a moment to our segment results, strong sales from the Tunnel Ridge mine during the 2015 quarter, led coal sales volumes and revenues in the Appalachian region higher, compared to both the 2014 and sequential quarters. Offsetting these increases, lower clean coal recoveries pushed segment adjusted EBITDA expense per ton higher by 8.3% compared to the 2014 quarter. While increased longwall move days at Mettiki and Tunnel Ridge also contributed the higher per ton cost, which increased 5.1% compared to the sequential quarter. In the Illinois basin, coal sales volumes declined 3.4% compared to the 2014 quarter, primarily due to shift reductions at Gibson North and lower sales at Warrior, as the mine continued its transition to a new mining area. Compared to the sequential quarter, strong performance at Gibson South and increased sales from inventories across the region, drove coal sales volumes in the Illinois basin higher by 8.7%. Segment adjusted EBITDA expense per ton in the Illinois basin during the 2015 quarter improved slightly compared to both 2014 and sequential quarters. Comparing year-to-date results, ARLP's total coal sales price per ton in 2015 decreased approximately 2% at $54.30 per ton, in line with our previous guidance. Total segment adjusted EBITDA expense per ton increased approximately 4.5% during the 2015 period to $35.50 per ton, also in line with our prior guidance. Looking ahead to the balance of 2015, we anticipate that the operating and financial performance at ARLP's existing operations will be consistent with previous guidance. Assuming we gain operating and marketing control of White Oak at the end of this week, we anticipate that the White Oak Mine No. 1 should be modestly accretive to our consolidated EBITDA and net income for the remainder of the year. We continue to expect 2015 full year EBITDA and net income will be within the range of our prior guidance. We will provide a completed update of guidance and a press release after the White Oak transaction is closed, and will host a conference call soon thereafter, to update our forward guidance and answer any questions you may have concerning the consolidation of the White Oak Mine No. 1 and termination of the current royalty and surface facilities services agreements and the preferred equity interest related to White Oak. Finally, let's take a quick look at the balance sheet, which we continue to view as a competitive advantage for ARLP. Our liquidity at the end of the 2015 quarter remained a very healthy $344.9 million, even after repayment of the $205 million series-A senior notes we considered [ph] during the 2015 quarter. Our leverage also remains comfortable at 1.1 times total debt and to trailing 12 months EBITDA. We believe our strong balance sheet leaves ARLP in great shape to execute our plan and take advantage of future opportunities. With that, let me turn the call over to Joe for his perspective and outlook. Joe?
Joe Craft III: Thank you, Brian. Good morning everyone. As you just heard from Brian, Alliance continued to distinguish itself this quarter, combining its consistently outstanding operating performance with a record shipping quarter. Given the challenging commodity market the industry faces, ARLP has prudently adjusted production, controlled costs and minimized capital expenditures, all of which contributed to the strong performance and solid results achieved through the first half of this year. ARLP continues to meet its objective of increasing distributable cash flow. Year-to-date, distributable cash flow increased 3.3% over the 2014 period, and ARLP's distribution coverage ratio remains a robust 1.71 times. Brian also mentioned, we are on track to close later this week on the acquisition of the remaining equity interest in White Oak, not already owned by ARLP, and assume operating and marketing control within Mine No. 1. Now folding this operation into our portfolio, rather than being run as a standalone company, we expect annual cost synergies at $12 million to $18 million. We also expect the marketing and operating expertise of our management team will add even more value to this mine and its contribution to our long term success. ARLP also continues to distinguish itself in the area of safety. Safety is embedded in our culture at Alliance, and is our highest priority. Our safety performance has been particularly exceptional this year. ARLP's key safety metric has improved by almost 50% over 2014 and is 66% better than the industry average through the first half of 2015. I want to offer congratulations to our operations for their daily focus and effort to make ARLP one of the safest coal companies in America. Now Alliance has achieved 14 years of record operating and financial results. Year-to-date, we continue to perform at the highest level and have delivered the stability and growth that our long term unitholders have come to expect. We are on track to deliver year-over-year increases in distributable cash flow, while maintaining a strong balance sheet with low leverage, and a conservative distribution coverage ratio. Production gains and consistent margins have driven record results over the years. With the addition of White Oak, Gibson South, Tunnel Ridge and the significant reserve additions we acquired over the past year, we are well positioned for many years to come as a low cost producer, strategically located in the Illinois Basin and Northern Appalachian Coal basins. Notwithstanding our industry leading track record, our strong current results and our preferred positioning for the future, we do believe that ARLP and AHGP have been caught in the downdraft with some of the weaker coal stocks during the past six months. We have been disappointed that the market has not differentiated between a very healthy Alliance, and most of our distressed peers. Moreover, while we are in the same industry as these peers, our performance, our balance sheet, our access to capital, our strategy and our future outlook stand apart and are better than the rest of the industry. Most of our coal industry counterparts are under extreme duress due to the high leverage, significant exposure to metallurgical coal markets or both. Neither of these attributes applies to us. Firmer coal demand in the domestic utility market has fallen this year, primarily due to lower natural gas prices and a weaker export market. While we have been impacted by the reduced demand, we have been somewhat protective from the lower price curve as a result of our strong contract book. As we look ahead, we are contracted a 96% for the rest of 2015 and roughly 65% for 2016. We believe this is a stronger contract book as there is among the publicly traded companies. Speaking of pricing, we continue to believe the current price curve for coal and for natural gas, for that matter, is not sustainable. We are starting to see coal demand begin to stabilize, and excess supply beginning to come off the market. Total coal production has declined from the sequential quarter by 13.5% in the Illinois Basin and 15% in Northern Appalachia. We expect further supply reduction is coming, which continue to improve the oversupply situation in these regions. We are encouraged to see spot solicitations for the rest of 2015, even though current gas prices are below $3 and utility stockpiles are above historic norms. It seems, that coal-to-gas switching has a floor, such that it leaves 30% of electricity generation in this country, for now and the foreseeable future, that will be coal based. The coal industry has probably another six or so months of uncertainty ahead of us. As companies restructure their debt and determine their strategic options. The perception for coal's future, during this time, will continue to be challenging, as the bankruptcy will be shared with EPA and their environmental industry allies, [indiscernible] the final greenhouse gas regulations for new and existing power plants, which are due to be released some time next month. This will keep the headlines full of negative news for coal, as politicians and bureaucrats debate this politically charged issue. The things they are reporting will mask the improving fundamentals, which should take place over the next year, as demand stabilizes and supply is right sized. As many of you know, my family is the largest holder of Alliance equity. From the outset, I have taken a long term view. As a long term investor, I believe coal will be around for the next quarter of a century, for sure. Delivering low cots electricity to this country, at demand levels no less than what we have today, and I believe Alliance will continue to be the best performing supplier of that coal. ARLP is extremely well positioned to not only survive the challenges currently bucketing the coal sector, but deprived [ph] as the current turmoil in the industry will provide opportunities to add assets to strengthen our platform. We remain committed to our strategy and are focused on delivering long term value to ARLP and AHGP unitholders. Based on ARLP's current quarterly results, our strong 1.71 times distribution coverage and their confidence in ARLP's outlook, the Alliance boards elected to increase distributions to our unitholders for the 29th consecutive quarter. ARLP unitholder distributions were increased in annualized rate of $2.70 per unit, and to an annualized rate of $3.84 per unit at AHGP. The announced cash distributions for the 2015 quarter reflect the sequential and quarter-over-quarter increase of 1.9% and 8% respectively at ARLP and an increase of 2.4% and 10.3% respectively at AHGP. This concludes our prepared comments, and we appreciate your continued support and interest in both ARLP and AHGP. So now, with the operator's assistance, we will open the call to your questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from Jorge Beristain with Deutsche Bank. Your line is open.
Jorge Beristain: Hi, good morning. Jorge Beristain with Deutsche. I guess, maybe my question is for Brian; given the pullback, as you said, that we have seen in generally, the entire metals and mining complex and sort of like throwing of the baby out with the backwater that we are seeing for the good companies. How would you -- I guess, address investor fear that there maybe a cut to the distribution? Obviously, you have just raised it, we get that, but could you just talk a little bit through the lines of defense that you have, and how the company would approach, if distributions had to be cut. Is the GP first in order and then the LP, and how you would tackle that kind of environment? Thanks.
Brian Cantrell: Sure Jorge. I don't see any likelihood of distribution cuts at either entity at this point in time. To start with our coverage ratio, over 1.7 times, is very strong, very conservative and our cash flows continue to be strong. EBITDA, net income in this environment, while we did show decline quarter-over-quarter, several of those issues were due to one-offs in the 2014 quarter, and just the anticipated reduction in revenues, given the current market environment. But our cash flows do remain strong, we did actually show an increase in distributable cash flow during the first six months of 2015 compared to 2014. So while a lot of our peers, as Joe mentioned, are struggling, cash flows are deteriorating. Ours remain very strong and with our coverage ratio, at the level that it is, I think our distribution is secure.
Jorge Beristain: Okay. And so just maybe a technical question, the depreciation being much higher than expected, is that sort of your new rate going forward, or were there any one-offs there due to the White Oak consolidation?
Brian Cantrell: While we haven't consolidated White Oak at this point in time, so its not reflective of that. As we mentioned, Gibson South, period-over-period was ramping up, and so our DD&A increased as well.
Joe Craft III: Another factor is, we mentioned previously as our Hopkins County mine is depleting this year, when we will transfer some units to River View, so there has been an increase in depreciation to reflect the remaining life at Hopkins.
Brian Cantrell: We did accelerate that, beginning in earlier this year, Jorge.
Jorge Beristain: Got it. Okay. Thanks very much.
Operator: Thank you. Our next question comes from Mark Levin of BB&T Capital. Your line is open.
Mark Levin: Okay. Thanks very much. Maybe too specific of a question you might not be willing to answer, but I will throw it out there anyway. I think given investors concerns about safety of cash flow, particularly, as you move into 2016 and 2017; can you may be give us directionally where you see revenues per ton or price per ton or something to give us, maybe a little bit more clarity, as to the security of the distribution, as it pertains to 2016 and 2017?
Joe Craft III: I think as we look forward, I think we would expect the pricing to fall off a little bit. However, when our board looks at the distribution, I want to give everyone the comfort that we do look over pretty much about a five year period. So we don't take increasing distributions lightly, and I think its -- I am confident to say, every time we issue a distribution, we do believe its sustainable. So as we look to the pricing environment, I mentioned on the last three calls, I mentioned again today, that the current price curve is not sustainable. And we see again that the reduced supply that's coming off the market hit a pretty fast clip right now, and will stabilize that market. So when we think, with 2017, which is really where our exposure is, you are going to see a much different price curve in 2017, than what you're looking at today. And we think that it will allow us to sustain distribution for -- where we are today, and looking forward. If you think about the new MLPs, the CONSOL MLP and even Foresight, they are targeting a 1.3 coverage ratio, we are at 1.7. So we've got plenty of room here. So I think looking at 2016, looking at 2017, we are going to start to see improved pricing. But its hard to predict exactly what that is. We will give you some more guidance, once we incorporate White Oak. Another factor, when you look at year-over-year, White Oak prices are lower than ours right now, so that's going to have an impact as well. But they got their low cost also. So if we can defer some of that conversation until we close on White Oak, I think it might be clear for people without confusing the issue. We are talking about it today, and then having to recalibrate with White Oak incorporated into their forward look.
Mark Levin: Absolutely fair. But Joe, I guess, maybe you can be more specific about it. I mean is there -- let's just assume that the coal markets for a second, don't get a whole lot better and that gas kind of stays below three for an extended period of time. It sounds to me, obviously like the distribution itself is safe, there is really no concern there. But how about the growth rate? If things were to sort of stay the same way, if gas was to stay sub-3, for let's say the next 12 months, would the board be forced to evaluate the current distribution growth rate?
Joe Craft III: I think they would be forced to look at the growth rate, no question about that, under that assumption. But as I mentioned in my prepared comments, it appears that there is a floor of 30%. So we are really not -- as an industry, we are really not competing with natural gas. I mean, if you look at the fact, that this quarter, right now, we are starting to see solicitations for 2015, you think that with the gas price being where it was, if there was availability of gas, that they will then -- consuming gas instead of coal during the month of June-July. That doesn't appear to be the case. So it appears to me, that what we got really driving our price curve more, is coal-on-coal competition than it is coal-on-gas competition. These lower 30%, 32%, 34% market share for the total burn of coal against the other fuels in the utility space. So the reason you're starting to see the supply come off, is that these coal prices are just not sustainable, and that's [indiscernible] to competing with other coal companies and not necessarily gas prices. So I do believe that the coal prices will go up, because the higher cost producers aren't able to get the financing to continue to operate in loss.
Mark Levin: Fair enough. Last question Joe, and then I will get off of here, but has the competitive dynamic within the Illinois Basin changed much, post the Murray consolidation of Foresight mines. Has that had any impact, either positive, negative or neutral?
Joe Craft III: I mentioned earlier the supply reduction for the past quarter, a large portion of that relates to Murray and Foresight. So yes, I think it has made a difference.
Mark Levin: Great. Thanks very much.
Operator: Thank you. Our next question comes from Paul Forward of Stifel Nicolaus. Your line is open.
Paul Forward: Good morning.
Joe Craft III: Good morning Paul.
Paul Forward: Its good progress on inventory reductions during the quarter. I was just wondering if you could talk about, given your plans for the second half of the year, what's the potential for further progress in that area, just during the second half of the year?
Joe Craft III: As Brian mentioned, we had a big build in the first quarter, related to [indiscernible] some transportation interruptions. And so what we saw in the second quarter was really a catch-up from behind in the first quarter. As we look forward, we would like to see our inventories go a little lower. But as we are trying to determine what the proper production levels are, and as we look at 2016 and how we integrate White Oak, its hard to answer your question. So we are hopeful, that the inventories will come down somewhat, but they won't be -- we don't see another 900,000 ton excess shipping month in either the third quarter or the fourth quarter. So I would say, our sales should be pretty much in line with production. Hopefully, it will be a little bit larger than production to reduce our inventory levels.
Brian Cantrell: And Paul, we will get into this more after the White Oak closing. But obviously, bringing up new mine into our portfolio as well, inventory comes with it. So on an aggregate level, while our existing operations will continue to work to moderate inventories down, overall, you may see an increase, as we bring White Oak in --
Joe Craft III: Or flat.
Brian Cantrell: Or flatter. It will be impacted.
Paul Forward: Thanks. I know that you are planning to talk more after the White Oak transaction closes. But you did mention, I think $12 million to $18 million of synergies, and have a chance to talk further about these later on. I was wondering if you might -- since you mentioned the numbers, can you talk about just within that $12 million to $18 million are we talking about -- is that all operating synergies, is there marketing synergies, maybe just broadly talk about where you think the two companies together offer synergy opportunities?
Joe Craft III: All of that is cost. So it barely relates to the fact, that they have been operating pretty much as a coal company versus a coal mine. So there will be labor and benefit savings -- they are also, where they have been insured for workers comp as an example, when we are self-insured, same thing relative to the healthcare plan. So there is certain things, having just one operation, they don't have the economy of scale, that it will bring to the table. Our purchasing power versus theirs. There are just several factors that are truly a low hanging fruit, as they say. Some of those relationships will take some time to work out, if they release some equipment, so those leases need to run off to get some of that benefit. So there is certain things that are just obvious -- that run rate should kick in, pretty much, full percentage next year. But it will really take a little while to integrate through the end of this year. So we do believe that that range is really focused on just the cost component, and it does not include any marketing synergy, it does not include any optimization by shipping some of their tons on our contract as an example, doesn't include additional savings we can bring into the table, by our scale and our operating expertise.
Paul Forward: Great. And then -- well that's a big addition to the Alliance portfolio with White Oak. I was just wondering if you could talk about, in this time of, obvious market turmoil, where you see any opportunities that might be interesting for Alliance to take advantage of, what might be mispriced assets in the market, and thinking about the thing about where the long term trends are going. If you were to line up what's available these days in terms of either diversifying and to adding some oil and gas assets in an obvious weak part of the market, adding some coal assets on an obvious weak part of the market, or even stacking up those pops available to say buying back your own units.
Joe Craft III: I think what we are seeing today in the coal industry is pretty much unprecedented. I think we will see quite a bit of restructuring I think in the next six months or so, and it will provide a lot of opportunities for us to consider. And our focus will continue to be on the Illinois Basin in Northern Appalachian and the domestic utility, not the metallurgical market. So there will be plenty of opportunities for those that have brave hearts to tackle the metallurgical world. But our focus will be on the Illinois basin primarily, and Northern App coal assets, and I do believe that there will be opportunities to consider, making some additions. We will have to see how that plays out, can't really talk to any specifics, as we normally talk about, many of the opportunities we are looking at specifically. But generally, I do think its an opportunity for us to continue to add to their base. As we think in terms of the midstream space, or oil and gas space, I think there will be opportunities there. I don't know if they're going to be as attractive as what we would look at in coal. There appears to be quite a few private equity firms that are targeting that area. So multiples continue to be a little higher than what we would like to pay. Specifically on the minerals investment that we have announced previously, we are continuing to fulfill that obligation and are very pleased with the results to-date. We have made some investments, probably at a faster rate than what we had previously discussed. So we may be concluded with that program within 12 to 18 months, as opposed to two years. That will give us the opportunity to exercise the next option for the $100 million worth of additional investment opportunity there, that we will consider sometime later this year more than likely. So as far as buying back stock, I think as we look at that alternative versus participating in the consolidation in the industry, I would say at this moment, if we can do some things that will allow consolidation, that there could be more value added by bringing consolidation to the forefront faster, and therefore allowing some rationalization to occur. But I like my stock too, so that's a tough choice.
Paul Forward: All right. Well thanks a lot Joe.
Operator: Thank you. [Operator Instructions]. Our next question comes from Brian Yu of Citigroup. Your line is open.
Brian Yu: Thanks and good morning Joe and Brian. Joe, you had mentioned that you guys do have a very high distribution cover ratio, 1.7 times. Once White Oak is consolidated, is that when we would see all that spending, especially your investing activities, which have been running higher than some of the numbers presented in the table. Is that going to start to narrow, so that we actually see kind of the full potential to the free cash flow generation that has come down 16 basis. I think that, close to that, and most of your growth investment activities would start to win pretty quickly?
Joe Craft III: As far as capital for forward; generally, the answer to your question is yes. I think once we bring White Oak into consolidation, it will be some transition back to trying to get that operation stabilized if you will. And we will talk about that more, once we close. I don't think its appropriate to talk about at this moment in time. But as we look out for other [indiscernible] that we are completing the expansion of our plant at River View. That should be completed this year. So when we think of capital going forward, except for opportunities that may present themselves in the M&A space, we would expect our growth, the capital expenditures in the out years to be less, than what you have historically seen. We did recalibrate our maintenance CapEx numbers this quarter. We have evaluated the benefits of the equipment that we bought from Patriot earlier in the year, the end of last year, which has allowed us to effectively use that equipment without having to go to the market. We will have the benefit of doing the same with the Hopkins assets, when it closes. There is quite a bit of used equipment in the world these days, so as we look at our five year look for our maintenance CapEx, we believe that number has gone down. We have gotten some of the benefit that some of the oil and gas guys with their drop in prices from suppliers, sort of sharing in the pain of some of the market reduction. So we feel like that our maintenance CapEx number needed to be adjusted to be realistic to what we are seeing in the marketplace. So I think our CapEx number both from a growth perspective as well as a maintenance perspective would be lower in 2016, than what you have been used to see.
Brian Yu: Okay. Helpful. And then the 65% coverage for next year, is that meaningful different between Illinois Basin and Appalachia?
Joe Craft III: I don't think so. Its about the same.
Brian Yu: Okay. Thanks.
Operator: Thank you. Our next question comes from Lin Shen of HITE. Your line is open.
James Jampel: Its actually James Jampel from HITE. Could you be a little more clear on the schedule for the next couple of months, in terms of what you will be announcing when? Did you say you are going to have some sort of investor day type presentation before the next quarter?
Brian Cantrell: No, we didn't say that. We do plan on -- we are on track to close the acquisition of the White Oak equity interest later this week. And shortly after that closing, in all likelihood, early next week, I am assuming closing the curves. We will host the call to discuss that transaction and provide an update on guidance in a more detailed fashion.
James Jampel: Okay. So we are waiting only a week or so?
Brian Cantrell: Yes.
James Jampel: Great. You mentioned -- I was wondering, how you see that coal can't go below a 30% market share. How do you reach that conclusion?
Joe Craft III: If you go back 2012, we had extremely low gas prices, and there's [indiscernible] floor 30%, pretty much. Then as gas prices rebounded, we went back close to 40. What we have experienced year-to-date is right at 34%. April came in at a low rate of 30, where gas got a lot of headlines. We are exceeding coal for the first time in my career. But then you look at May, coal is back up to 32%, I believe in June, you're going to see that go a little, even greater in July probably, back closer to the 34. Gas prices are still in the 2.70, 2.80 and everybody projects well, gas prices have to be 3.50, really to be competitive. If gas prices have to be lower than 3.50 to be competitive, well that is generally true, and that's why we are seeing 40% going down to the low 30s. But there appears to be a deliverability or must-run coal plants or other factors. I can't pin point it precisely, because when you look at the spreadsheets, it would suggest that there should be more competition. But in reality, what we are seeing, is when the coal share gets closer to 30, there seems to be a floor to where, even no matter what the gas price is, the coal plants are running. So I can't give it to you precisely, but I can't look in the rearview mirror and see exactly what has happened, where the gas prices have been and what the production has been. And it seems to come in at 30 plus, as far as the total market share for coal, in the electric utility generation space.
James Jampel: You have been unable to point out exactly what causes it -- prevents it from going below 30?
Joe Craft III: I think its either going to be deliverability, where there is no additional deliverability. Its either going to be full capacity of the gas plants, or its going to be must-run coal plants. Its going to be one of those three things. But I can't tell you precisely, plant by plant and utility by utility what that answer [ph] is.
James Jampel: Okay. Fair enough. You mentioned that quite a bit of capacity has come off I the Illinois Basin last quarter. Is that reduction a type that's -- that reduction, is that difficult to reverse, or could that easily be reversed?
Joe Craft III: Some of it is permanent. I'd say, most of it should be reversed, if the market presents itself. But there has been a signal saying, that at this price point, we are not going to produce it. So yes it can be reversed, but it will be reversed at a higher price in my view.
James Jampel: I see. The Murray bonds that are trading out there, are obviously indicating a company in distress. How has that been impacting you guys directly?
Joe Craft III: It has not impacted us directly, as far as the lending markets. We are in constant contact with our financial advisors, our balance sheet is pretty strong. We believe we have got plenty access to capital. So the leverage that others have taken on, is a factor in their performance. But it has not impacted our ability to have confidence and our ability to execute our plans.
James Jampel: Do you think it involutes Murray's strategy and could that --
Joe Craft III: I can't really speak to that. I mean, its really hard to know sometimes whether the market is running on facts or fear. And I can't answer why the Murray bonds are trading the way they are trading, I really can't answer that.
James Jampel: Okay. And last one for me, and then Lin may have one, you mentioned six months of uncertainty for the industry full of negative news and doomsday reporting. Could you again point out what [indiscernible] things, I couldn't quite follow what you were saying, might be coming in the next few months?
Joe Craft III: Well, there has just been several suggestions of potential bankruptcy filings. Several other competitors have hired advisors to restructure their debt. You can see the stock market, where several of them were trading in single digits, and you just mentioned the bonds. In the entire bond market, we have really seen in the last month, almost all coal bonds except ours have traded down 8% to 10%. So there has been sort of a negative perception, if you will, or sentiment over the coal space, that again sometimes I don't know if its just herd mentality or whether there's certain facts people are looking at, that drive it that way. But we have seen that when our competitors primarily do to the high leverage in the metallurgical coal markets, not the steam markets. The metallurgical markets continue to show stress, the export markets continue to be non-existent because of the dollar primarily. So when we look at our current situation, and if you want to just freeze u tub tune and then try to project it forward, then it gives you an analysis that cropped some of the questions we had earlier today. I think on the steam side, the domestic thermal side; again I am very confident in sharing, potentially, the market being a 800 million ton market for the domestic coal business. It might be 785 million, it might be 825 million, it maybe 850 million, but its going to be a stable market for years to come. The market [ph] will, even no doubt, overturned by the Supreme Court. I think there is opportunity. It will pick up some demand there, but most people are saying, its already baked in the cake. But by being baked in the cake, we know how many plants are going to run. The next issue is about the greenhouse gas rules, I think they are going to be delayed as far as implementation. So I think, for the next five to 10 years, we are going to have a very stable domestic utility market. Beyond that, I think that there are players that are trying to evaluate what they are doing. I think there will be a lot of discussions about greenhouse gas rules, because Obama has got his legacy attached to him, but they are destructive to United States. We are starting to see Republican governors sign up pretty much. I think there is up to eight right now, and there may be a couple of Democrat governors, the Democrat candidate of Kentucky has already said, he is not going to file a state plan. So there is going to be resistance to the greenhouse gas plants. But all that discussion is going to be in the headlines. I think we have got a solid investor, who would look through some of these headlines, try to understand what the underlying fundamentals are. I think the underlying fundamentals are, we have pretty much reached bottom on the domestic coal side, and the opportunities going forward are going to be more positive. I believe with every passing buck, you're going to start seeing better supply/demand outlook and therefore, I think that will give the market or give the coal producers a price where they can again, be long term successful and being reliable suppliers to the utility industry, to supply that 800 million tons that America needs, to have low cost reliable electricity.
James Jampel: All right. Thank you. Lin, did you have a question.
Lin Shen: Yeah. Just a very quick follow-up for this coal demand and also market share. Other than the low natural gas price, can you talk a little bit about the generation increase by wind and solar? We hear that the cost is lower and also their technology and the efficiency improvement make them a better generation source, so that they can pick up some more market share? So do you think there could be any threat for coal demand?
Joe Craft III: Not in the near term. I think, if government wants to continue to subsidize that sector, longer term, it could have some impact, but its not significant. I strongly believe that natural gas and coal are going to be the backbone of electricity generation, they are going to be 70%; 63% to 68% -- 65% to 68% for some time to come. So yeah, you may see some capacity additions, but its not. It doesn't move the needle, its very small to the total grid. The power is intermittent, and I think the gains they made have been made to the areas of the country where they got the most demand, and for the rest of the country, I just don't see it competing with fossil fuels.
James Jampel: Great. Thank you.
Operator: Thank you. Our next question comes from Michael Goldenberg of Luminus Management. Your line is open.
Michael Goldenberg: Good morning. Can you hear me?
Joe Craft III: Yes.
Michael Goldenberg: So --
Joe Craft III: Just one more point on that last question, there was a Moody's article that was just released.
Brian Cantrell: Moody's report yesterday.
Joe Craft III: That basically gave the same conclusion for the next significant period of time, coal and gas are going to be the backbone of the electric utility industry. I am sorry for interrupting.
Michael Goldenberg: No problem at all. So, I wanted to understand again, the theme of the call has been that, the current state of forecasting is wrong, and the forward prices are wrong and things could get better. And I totally appreciate that you guys have a differentiated view. But lets go back to -- for arguments sake, that the forwards are right and the inventories are building. Just so how do [indiscernible] completely revamp the whole output and hedging, because customers inventories are beyond full? So if that were to hold true, as far as your revenue goes, I am trying to understand, where would revenue be roughly per ton in 2017, if the forwards are correct? What are we looking at, if things that are being forecasted right now, do not improve?
Joe Craft III: Well, let's see. Again, our challenge is, we can tell you what it is today with our operations. But then when we add White Oak, its going to be a different answer. But it could be, revenues just looking at our -- well, don't really have it precisely. I would say there would probably be about 5% difference in revenues, if you looked at our consolidated sales price per ton. That if prices persist, it would be somewhere in that percentage of decline, year-over-year.
Michael Goldenberg: So, right now you generate about $52 of revenue per ton, which is extremely healthy? Excellent. Price far better than anybody else in the book. If in 2017, I am not sure how much you have hedged at this point. But I am seeing, the forwards are a lot closer to the 30s. So how is that -- I am sorry?
Joe Craft III: Those forwards are spot tons, they are not big volume, its very illiquid. Physicals are not trading in those price ranges, even today, even without an uplift in price.
Brian Cantrell: Michael, if you are looking at the spot curve today, for specific quality at a specific delivery point, and you're wanting to assume that that stays in place for the next two or three or four years or whatever. Its just a simple math exercise. If you believe that's what our realizations are going to. But when you adjust for qualities, transportation, differentials etcetera, and longer term contracts; the spot price and the ultimate price realized that Alliance are very different. The other thing that you have to take into consideration, is that if this environment persists for the next few years, there will be a supply response, and as supply and demand adjusts, you will see pricing adjust as well.
Joe Craft III: And we are already seeing that. I mean, its not that -- its happening today. You just mentioned Hallador. That's 3 million tons of supply that's not going to be here next year, that as before yesterday, everybody was anticipating.
Michael Goldenberg: Okay. So for example, using them or Foresight as an example, why are they cutting production? And you guys are able to maintain production? Why would you be able to keep at the same level, enjoy higher revenue, because the other guys cut, while being able to avoid supply cuts itself?
Joe Craft III: We have held production ourselves. We got 4 million tons of capacity that we are not producing today, because of the current demand. So we have participated in this. We would have obviously had a better year this year, had we been able to operate our gifts and complex with full capacity. So we have been impacted just like they have been. Hallador is a little later. Foresight brought some tons off, Murray has brought some tons off. We have kept tons off. We have reduced unit [indiscernible] earlier. So we have participated in that, and we continue to look at how you right size the organization back to both supply and demand, as well as substituting low cost production for high cost production. And we will continue in that vein. We have been able to increase some of our tons at Gibson South, they are very low cost, relative to some of our other production. So that's one reason why we have been able to keep our margins as stable as they have been.
Michael Goldenberg: I got you. Thank you very much.
Joe Craft III: Okay. Thank you.
Operator: Thank you. Our next question comes from Brett Jones of Luzich Partners. Your line is open.
Brett Jones: Hi.
Joe Craft III: Good morning
Brett Jones: Good morning. I wanted to just get your opinion on where you think the average cash cost is for the Illinois Basin, and given forward spot pricing. What percentage of the basin is uneconomical at the forward curve?
Joe Craft III: I don't have a precise percentage. The challenge is -- obviously its moving, as we speak. But I do believe that the average is really not what you need to look at, you need to look at the marginal. And there are several mines that open today, that have costs in the high 30s, if not low 40s. And then when you add interest and CapEx on top of that, it gives you a signal that the pricing at a $40 level is just not sustainable. That tonnage will fall off, once high price contracts -- maybe subsidizing that production, do in fact expire. And we see some of that -- we believe that that's going to happen, because we know certain contracts are expiring that some of our contractors, even our customers have, what our competitors have, that are going to drive that supply response.
Brett Jones: Sure. And I guess what percentage do you think are marginal producers, and then the other question would be --
Joe Craft III: If you look at supply/demand balance, it doesn't take much, because we are pretty close in my view. So let's say, if you only had a 5% supply response, then you're going to be pretty much in balance in the Illinois Basin as well as Northern App.
Brett Jones: Okay. That answers my question. Thank you.
Joe Craft III: Thank you.
Operator: Thank you. I am showing no further questions. I would now like to turn the call back to Brian Cantrell, for closing remarks.
Brian Cantrell: Thank you, Amanda. We have obviously had a robust discussion this morning, and we appreciate everybody's time and your continued support and interest in ARLP and AHGP. As we discussed, following the close of the White Oak acquisition, we plan to issue a press release and host a call, to discuss the transaction and update our guidance. Our next quarterly earnings release and call are currently scheduled for late October, and we look forward to addressing our third quarter results with you at that time. Thank you, everybody.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone, have a great day.